Operator: Good day and welcome to the Cardinal Health’s First Quarter Fiscal Year 2017 Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Sally Curley. Please go ahead.
Sally Curley: Thank you, Ashley and welcome to Cardinal Health’s first quarter fiscal 2017 earnings call. As a reminder, during the Q&A, please limit your questions to one and one follow-up, so that we may get to everybody in queue. We will do our best this morning to get to everyone, but if we don’t, then please feel free as always to reach us at the IR team after this call with any additional questions. Also today, we will be making forward-looking statements. The matters addressed in the statements are subject to risks and uncertainties that could cause the actual results to differ materially from those projected or implied. Please refer to the SEC filings and the forward-looking statements slide at the beginning of the presentation found on the Investor page of our website for a description of risks and uncertainties. In addition, we will reference non-GAAP financial measures. Information about these measures and reconciliations to GAAP are included at the end of the slides. In terms of upcoming events, we will be webcasting our 2016 Annual Meeting of Shareholders on November 3 at 8:00 a.m. Eastern and our presentation at the Credit Suisse 25th Annual Healthcare Conference on November 8 at 8:30 Mountain Time. Today’s press release and details for any webcasted events are or will be posted on the IR section of our website at cardinalhealth.com, so please make sure to visit the site often for updated information. We hope to see many of you in upcoming events. Now, I would like to turn the call over to our Chairman and CEO, George Barrett. George?
George Barrett: Thanks Sally. Good morning, everyone and thanks to all of you for joining us. Allow me to start by being direct. Our first quarter of fiscal 2017 certainly had its share of challenges, but it came in much as we suggested to you that it would, with healthy and growing revenues up 14% versus the prior year and non-GAAP operating earnings down 9% versus the first quarter of last year. I will focus my commentary on the broad outlook for our business and our future and Mike will walk you through our financials for the quarter with more detail and specificity. Let me frame the start to our fiscal year with two lenses: one, the operating performance of our integrated business lines and the other, the environment in which we compete. Our teams continue to demonstrate their commitment to strong operating performance. Our service levels are extremely high. We are experiencing very high rates of customer retention. And our enterprise-wide customer reach is expanding, including the on-boarding of some very strategically important customers in the med segment. We also continue to launch new products and service offerings, increasing our value to our customers as they navigate significant change in the industry. And as is embedded in our DNA, we are taking a disciplined and determined approach to managing our working capital. But make no mistake this is a very challenging near-term environment. This is particularly true for our Pharmaceutical Distribution business. The public discourse around drug pricing has at least for the moment had a significant impact on the way pharmaceutical companies are pricing their products on both the branded and generic side. Combining this with limited generic product launches and significant reimbursement pressure on our customers, the competitive intensity has increased. As a result, price erosion during the period has been more pronounced than it has been in quite sometime for our industry. Our commitment has been and will continue to be to providing world class service, tools, technology and solutions to help our customers thrive in a challenging environment and better serve their patients. This is central to our value proposition. At the same time that our retail pharmacy customers are experiencing unique dynamics, we are also working closely with our large integrated system customers to help them adapt to a changing environment. One more pressures to be efficient or relentless were the configuration of their own businesses and portfolios are more complex and where the need to operate across their own internal boundaries is a high priority. As a result, the historically siloed or departmentally driven operating model is evolving to one that places a premium on operating coordination across the system and strategic alignment with other healthcare players who can enable their strategies. This is who we are. Our focus is on finding more efficient and effective ways to create real value for our customers across our lines of business. Today, our customers look to us for our integrated solutions to help them reduce costs, increase efficiency and improve quality. All of this requires deep, multidisciplinary healthcare expertise and real strategic partnership, which we deliver everyday for those we serve. These are the characteristics at the moment, some very encouraging, others creating short-term headwinds. Of course, I would like some of that to be different, but this is the environment in which we must compete now. We will play for the long game, with a strategic eye in the future, mobilizing the best talent and building the right lines of business to help our customers compete in this changing world. With this as backdrop and modeling in and adjusted for the current pricing environment, we are slightly lowering our fiscal 2017 non-GAAP EPS guidance to $5.40 to $5.60 from our prior range of $5.48 to $5.73. Let me be clear. We remain committed to navigating today’s challenges, embracing tomorrow’s opportunities for our customers and shareholders. Within our Pharmaceutical segment, revenue was up 14% versus the prior year to $28.8 billion and segment profit declined 19% versus the prior year to $534 million. This was primarily driven by generic pharmaceutical pricing, reduced levels of branded inflation and the loss of Safeway, which we previously discussed. However, the work that we have done over the past few years has strategically positioned us to more effectively support our customers. The range of our retail service offering has never been stronger and the Red Oak Sourcing venture with CVS Health continues to be an effective, productive and profitable partnership. We see this as a long-term driver of value for us and our customers. Our Specialty Solutions group continues to perform well driven by both our provider facing and biopharma offerings, once again showing strong double-digit growth. We are confident that our growing portfolio of services is well-aligned with and valuable to the strategies of our biopharmaceutical partners. I want to thank Jon Giacomin and his Pharma segment team for their commitment to navigating these challenging dynamics and remaining focused on our customers with a clear eye towards managing efficiency. Our Medical segment had a strong first quarter across multiple dimensions. First, revenues for the Medical segment were up 12% versus the prior year to $3.3 billion. Second, segment profit was up 26% versus the prior year to $127 million. And third, our Medical segment customer base has been expanding, a testament to the value we created across our lines of business and the strong partnerships we have developed with our customers. Everyday, we serve customers focusing more on the total care of the patient and they recognize the growing shift to value-based reimbursement models. Discussions with our customers reinforce that they are looking to us as a broad-based integrated solutions provider and a source of expertise across the continuum of care. Our Cardinal Health brand of products continue to be a driver of growth for this segment as we increase our account penetration and growth in our strategic accounts is outpacing the market. During the quarter, we on-boarded a large complex customer in our medical segment. We learned a lot from this rapid deployment and we are very grateful both to our employees and to our new partner for working together to move us towards the finish line. October 2 marked the year since we closed the Cordis acquisition. Don Casey and his team have done a tremendous job leading the integration thoughtfully phasing in new systems and processes and building out an important platform. The integration of Cordis has proved to be an excellent example of how we can bring together best practices across borders. We have seen over this past year that taking the time to do things right is essential to best serve our customers. We have also seen growth in some important markets, including Europe where we believe that taking an integrated cohesive approach to our customers will position us for a measurable growth over the long-term. Cordis is also providing us with additional partnership opportunities to at our products, tools and services. As an example, we have signed an exclusive distribution agreement with Biosensors to bring their coronary interventional products to our customers in Europe and Japan as another offering in the bag to deliver even greater value. While we are operating today in a tough and unique environment, we believe that we are well prepared to lead and quick to adapt by working with our customers holistically, driving our own efficiencies and delivering integrated effective solutions, we have developed strong partnerships with our customers. We remain committed to focusing our product lines and capabilities around the patient to position ourselves to capitalize on the changes in our industry. And to the collective drive and dedication of our 37,000 people, we will continue to deliver meaningful results and measurable growth for our customers, patients and shareholders. With that, I would like to turn the call over to Mike for a detailed review of the financials. Mike?
Mike Kaufmann: Thanks George and thanks to everyone joining us on the call today to discuss the first quarter. I would like to begin by reviewing our first quarter financial performance and then walk through our full year fiscal 2017 expectations. Please note that with all of my comments, I will begin with GAAP and then provide the comparable non-GAAP figures. The slide presentation on our website should be a helpful guide throughout this discussion as it includes our GAAP to non-GAAP reconciliation tables. Our first quarter fiscal 2017 results were about as we expected, with GAAP diluted EPS at $0.96 and non-GAAP EPS at $1.24, a 17% and 10% decrease, respectively. In our August call, I mentioned this would be due to some challenging trends and some tough year-over-year comps, particularly on some key generic items in our Pharmaceutical segment, as well as discrete tax items, partially offset by strong performance in the Medical segment and that’s largely what we saw. I will discuss both segments in greater detail later, but let me start with the consolidated company results. Revenues increased 14% year-over-year, totaling $32 billion. Total company gross margin dollars were up 1% versus the same quarter in the prior year. Consolidated SG&A increased 9% versus the prior year, primarily driven by strategic acquisitions. If you exclude acquisitions, SG&A was favorable for the quarter. Both consolidated GAAP and non-GAAP operating earnings declined versus the prior year by 14% and 9%, respectively. Moving below the operating line, net interest and other expense was approximately $41 million in the quarter, a decrease versus the prior year. The GAAP effective tax rate for the first quarter was 37.3%. Our non-GAAP effective tax rate this quarter was 36.4%, which is 3.5 percentage points higher on a comparative basis, primarily due to several favorable discrete items that occurred in last year’s first quarter. We continued to expect our full year non-GAAP effective tax rate to be between 35% and 37%. Our first quarter diluted average shares outstanding were 322 million, about 9 million shares fewer than the first quarter of fiscal 2016. This was due to the benefit from our opportunistic share repurchases over the last 12 months, which includes $250 million of share repurchases in the first quarter. We have just under $800 million remaining on our Board authorized share repurchase program. In addition, we generated approximately $104 million in operating cash flow during the quarter. And due to efficient and effective working capital management by our teams, we ended September 30 with a strong balance sheet. Our cash balance including short-term investments was $2.2 billion, of which $622 million were held internationally. Now let’s move to segment performance, starting with Pharma. Our Pharmaceutical segment revenue increased 14% to $28.8 billion. This increase was from growth in net new and existing pharmaceutical distribution customers, driven mainly by the win of a previously announced large mail order customer and the impact of branded inflation. While a smaller driver, the strong performance of our specialty business also drove the revenue increase. Despite the revenue growth, segment profit for the quarter decreased 19% to $534 million. This decrease was a result of generic pharmaceutical pricing and to a lesser extent, reduced levels of branded inflation, as well as the previously announced loss of a large pharmaceutical distribution customer. This was partially offset by solid performance from Red Oak Sourcing. These same factors, as well as changes in our product and customer mix, mainly the on-boarding of a previously discussed large mail order customer, reduced our segment profit rate by 76 basis points to 1.86%. As a reminder, next quarter, we will fully lap the on-boarding of this large mail order customer. Getting back to Red Oak, as we have mentioned in the past, if it achieved certain milestones, it would trigger the second of two predetermined payments beginning in FY ‘17. Because of excellent performance, Red Oak met these milestones, so we have made our second and final $10 million increase to the quarterly payment to CVS Health beginning in Q1. As anticipated, our new quarterly payment is $45.6 million for the remaining 8 years of the agreement. Let’s now go to Medical segment performance, which had a strong first quarter. Revenues for the quarter grew 12% to $3.3 billion, primarily driven by contributions from our strategic acquisitions and growth from net new and existing customers. Medical segment profit increased 26% to $127 million during the quarter due to contributions from acquisitions and Cardinal Health brand products. Segment profit margin rate increased 42 basis points in the quarter to 3.87%, driven by acquisitions and Cardinal Health brand products, partially offset by the change in customer mix. This change primarily comes from the accelerated on-boarding of a new large medical distribution customer. The recent wins in the Medical segment on the distribution side are exciting and very important. They add to our profitability, but are dilutive to our Medical segment margin rates. Specific to Cordis, it continues to meet our performance expectations and make real and measurable progress. As we mentioned last quarter, our integration team is on track to have our operations fully stood up and exit the TSA agreements by the end of this fiscal year, while our transition manufacturing agreements will extend for a couple of years. Until we exit these TSAs, they can create some variability in our segment profit rate, although this quarter, it was about on track. Overall, our team has done an outstanding job driving strong, healthy growth in the Medical segment. Before moving to our fiscal year ‘17 outlook, you can turn to Slide #7 where you will see our consolidated GAAP to non-GAAP adjustments for the quarter. The $0.28 variance to non-GAAP diluted EPS results was primarily driven by amortization and other acquisition related costs. Next, I would like to discuss our fiscal 2017 non-GAAP earnings guidance range and assumptions. But before doing that, let me comment on Q2. While we don’t typically provide quarterly guidance, we want to keep you informed when there are meaningful shifts. So as it relates to the second quarter, the generic pricing environment and to a lesser extent, the brand inflation rates lead us to now expect the second quarter fiscal 2017 Pharma segment profit decline to be relatively in line with the first quarter on a percentage basis. Now you can follow along, starting on Slide 9 of the presentation. As George mentioned earlier, based on Q1 actuals, second quarter expectations and trends we noted, we are slightly lowering our non-GAAP earnings per share guidance range we provided in August to $5.40 to $5.60 from $5.48 to $5.73. Let me give you some color around this adjustment by walking through our corporate and segment assumptions. Turning to Slide 10, all but two of our fiscal year 2017 corporate assumptions remain unchanged. First, we have updated our weighted average shares outstanding assumption to 320 million to 322 million shares, which is lower than the initial range provided of 324 million to 326 million shares. This new range reflects potential additional repurchases. Second, our assumption for acquisition-related intangible amortization increased to approximately $385 million or about $0.79 per share that does not affect our non-GAAP earnings. On Slide 11, there are three updates to our full year Pharmaceutical segment assumptions that I would like to take a minute to highlight. First, we have previously expected Pharma segment profit for FY ‘17 to be essentially flat. We now expect full year segment profit to be down mid to high single-digits versus the prior year due to the generic pharmaceutical pricing environment and while much less of an impact lower than anticipated brand pharmaceutical inflation. To clarify, when we refer to generic drug pricing, we are referring to a combination of all factors affecting generic selling price, such as manufacturer inflation and deflation and customer pricing. We now expect this to be in the mid to high single-digit deflation for the full fiscal year. Lastly, we have adjusted our brand manufacturer inflation assumptions to a range of 7% to 9% from approximately 10%. Overall, we still expect Pharma segment profit to be back half weighted. Now, turning to the Medical segment, all of our fiscal year 2017 Medical segment assumptions remain on target and unchanged. We are still on track to achieve mid single-digit percentage growth in revenue and double-digit growth in segment profit. Now, turning back to overall company guidance. Since we are slightly lowering our overall fiscal 2017 earnings guidance range to 3% to 7% growth from 5% to 9% growth versus the prior year, we have updated some of our original assumptions to achieve that growth on Slide 13. The line titled Business Growth is now assumed to be flat to 3% and capital deployment is now assumed to contribute 3% to 4% for the year. From a corporate standpoint, we are focused on expense management and other actions to achieve these results. Keep in mind that the benefits related to these important items are held at the corporate level and not reflected at the segment level. And while we aren’t providing the EPS bridge slide we presented on our August Q4 call, you can infer that based on my comments about the generic pricing environment being more challenging, it would result in a decrease to that line item, while increasing our capital deployment assumptions would result in an increase to that line item. Net customer activity remains about the same, but our existing or remaining businesses bucket would increase as it includes the corporate actions I just referenced. Additionally, we told you on our fourth quarter call that we were assessing the timing of the adoption of new accounting treatment for the tax effect of share-based compensation. Our 2017 guidance does not include this as we believe it is simpler to adopt the new treatment in our first quarter of fiscal 2018 according to the required schedule. So, as you can see, we have now aligned our guidance range given the current pricing environment I just described. To close, let me highlight a few key points before I turn to your questions. First, while we are experiencing a tough near-term environment, we continued to aspire to the long-term goals we communicated before. In our Pharmaceutical segment, we do see generic pharmaceutical pricing, and to a lesser extent, branded inflation as challenges. However, we continue to see strong performance from Red Oak Sourcing, continued focus on operational excellence and positive feedback from our robust customer base. In addition, Harvard Drug, Specialty and Nuclear are all delivering value for our customers and our business. On the Medical side, we have also won some important new medical distribution customers, which should help us gain scale and sourcing and leverage our cost structure to create greater efficiencies. In addition, we continue to see strong growth in our Cardinal Health brand products and services and above market revenue growth in Cardinal Health at home. Finally, Cordis continues to perform well and we are confident in both the fundamental and growth initiatives in that business. Overall, it was a challenging quarter, but I want to acknowledge our team for their strong execution and focus in a tough environment. I believe this excellent execution and focus, combined with our broad portfolio and balanced capital deployment, will allow us to drive long-term sustainable growth. And with that, operator, let’s begin our Q&A.
Operator: Thank you. [Operator Instructions] And we will take our first question from Bob Jones with Goldman Sachs.
Bob Jones: Great. Good morning. Thanks for the questions.
George Barrett: Good morning.
Bob Jones: Good morning. George, you talked about the moderation in the pricing environment, but I think your comment seems largely focused on the buy side part of the business. I have just obviously want to get your views on the sell-side side of the business given your peer last week talked about more aggressive pricing in the retail independent channels? So, I just wanted to see what you are seeing there currently?
George Barrett: Hi, Bob. Good morning. Yes, actually my comments really were about the overall pricing environment. So, I was talking about sell side as well. And here is my perspective, there are, as I mentioned, number of factors coming together to make this a bit of a unique moment. So, we are not going to overreact to that moment. Our position, our plans for growth really aren’t different than today than they were 6 months ago. Our value proposition is very clear. We are an extraordinary attentive partner to our customers. We have a unique ability to follow the patient across the continuum of care. The service offerings are extensive, that’s what is part of our positioning. So, that’s I think important to stay upfront. But no, I think we are describing some similar characteristics to what you described.
Bob Jones: Okay, great. And then I guess, Mike, if I could just go over to the guidance. Overall, it looks like the range is coming down by $0.11 at the midpoint. You talked a lot about generic inflation getting a little bit worse than previously thought and then modestly less branded inflation. But if I look at the guidance for the Pharma segment specifically, it seems like that take down in what you are assuming around profit margins there or overall profits there, mid to high single-digits, would actually indicate something more in the $0.25 to $0.40 headwind. So just trying to square those two things relative to the overall amount coming down compared to what you are suggesting is going on with the Pharma segment for the rest of the year?
Mike Kaufmann: Thanks Bob. Let me hit a few different things. I think, first of all, just to be clear, when we talked – when I was talking about generic pharmaceutical pricing, I wasn’t really talking about the headwind tailwind you used to hear over the last couple of years of inflation and deflation on generic products, because that’s about where we model it to be this year. We are not really seeing that. We expected it to be a net deflation environment and that’s what we are seeing. So, that’s not really the driver. What we are talking about is more the downstream pricing component of our generic pricing. That’s where we are seeing the uptick in competitiveness or a little more erosion than we had expected to be, and that’s really is the main driver of us taking down our Pharmaceutical Distribution numbers. As I mentioned a couple of times, to a lesser extent, brand inflation. So, we have said about 10% before on brand inflation. We are now modeling in the 7% to 9%. That impact, I guess I will put it this way. If that were the only thing going on this year, then it wouldn’t probably be adjusting guidance. It’s more the combination of the generic pricing and then that on top of that. But I think that’s the first thing I want to say. The second thing, I can understand why you maybe have a little trouble with your numbers. I can’t quote exactly or comment on exactly what the number should be. But remember, I did make a comment in here that we have some significant initiatives around expenses and other initiatives that will be captured in our corporate numbers. And so those aren’t going to show up in the segment numbers, because we don’t push those down at the end of the year, so probably the piece that you are missing as you try to reconcile having Pharma down, capital deployment up, midpoint down, the last bucket that you are missing is that the corporate numbers we are going to have savings there that will be in the overall corporate bucket.
Operator: And our next question comes from Charles Rhyee with Cowen & Company.
Sally Curley: Hi, Charles.
George Barrett: Hello.
Sally Curley: You may need to take your phone off mute.
Operator: Hearing no response.
Sally Curley: Hey, operator, yes let’s go back to Cowen if they get back in queue. Let’s go to the next.
Operator: Okay. Our next question comes from Garen Sarafian with Citigroup.
Garen Sarafian: Good morning everyone. Thanks for taking the questions. So Mike and George, you guys just commented a little bit on the downstream, the sell side dynamics, but on the independent front, you guys aren’t as active as some of your peers, so just wondering, what specific segments are you seeing that and if you can you just give a little bit more flavor as to sort of the more recent trends into this month as to sort of the dynamics and how they are trending, that would be great?
George Barrett: Garen, good morning, let me start and then Mike jump in. Actually, we have a very strong position with independents and have for quite some years. So the dynamic Mike described, we are seeing in that segment. So I don’t have to add to that. Mike, anything?
Mike Kaufmann: Yes. I mean we have a lot of programs, services. We continue to stay very, very focused on that bunch of customers. We continued to have very high retention rates. And so we feel really good about where we are positioned in the generic independent space.
Garen Sarafian: Okay. I guess do you sort of – are you seeing that in other segments other than just the independents or sort of the [indiscernible] kind of lead to or is it still just focused specifically and only on that segment?
George Barrett: Let me try. I think it’s probably been the most intense there. We often have to deal on it. This is sort of a normal thing with re-pricing of contracts. Thankfully, as you know, we have not had a lot of big contracts up for renewal. But I think it has been a distinctly noteworthy environment in independents, would you say, Mike?
Mike Kaufmann: Yes. I would totally agree with that. And I think you have to think about the way contracts are written and just certain customers contracts are written in ways that the generic pricing or the way it works is one way in the other areas, it’s much more competitive for they haven’t committed to buy all their generics and so they are constantly shopping them and that’s where you are going to see and that’s typically in independent space. And that’s where you are going to see some more of these competitive pressures.
Garen Sarafian: Okay, that’s useful. And then I just have a follow-up, on the upstream, on the branded inflation side with the branded manufacturers, the moderating inflation has been sort of a fact that has been discussed in prior quarters and I thought that at some point, there was an opportunity to go back to the branded manufacturers and sort to readjust and realign the contract so it benefits all, so I am wondering have you done that in between contracts yet or is it sort of still waiting until the contract renews where those conversations come up again? And I will stop...
George Barrett: Yes. Thanks. Good questions. And I would say that’s really kind of across the board. It just depends on the individual manufacturer. As you know, about 15% of our branded margins are based on a contingent basis, which means that generic or a branded inflation is a piece of the driver of the value that we receive. And every one of those where we are not getting the value that we believe we should be compensated for the services that we deliver. We are having discussions with the manufacturers. Some of those are going to move quicker than others depending on contract date and based on prior discussions with those manufacturers on how those deals will arrive. And so you can imagine with every manufacturer where we believe we are being compensated less than we should have been or should be we are working with those manufacturers.
Sally Curley: Next question.
Operator: We now have Charles Rhyee with Cowen & Company. Please go ahead.
Charles Rhyee: Yes. Sorry about that earlier. Yes. Thanks George. You were talking in also your comments about – sorry, Mike, you were talking about your comments making the second payment to CVS as related to Red Oak, how much – can you kind of help us understand how much more of a benefit do you think you are getting right now this year on your generic procurement and how much of a benefit can we anticipate that we should get the rest of this year. And I guess the point I am trying to get at is, you talked about your overall estimate on generic deflation, how much is this procurement benefit do you think is helping offset, because I think George, in relation to your earlier comment to Bob’s question, you did kind of mentioned that you are starting or you are seeing a similar kind of characteristics in the market relative to comments from last week? Thanks.
George Barrett: Yes. I would say clearly, the number one offset to what we are seeing in the competitive pricing generics has been and should continue to probably be Red Oak Sourcing. I continued to be impressed with the team there, the depth of talent that we have on the team, the way they are looking at things, the creative ways they are working with manufacturing partners. And CVS Health couldn’t be a better partner working together with us to drive value at Red Oak. So Red Oak would continue to be a positive driver for us when it comes to offsetting that.
Charles Rhyee: And then is there any other things that we can think about that can be offsets or – I guess the other way I would say it is, when you think about the impact that you are seeing potentially in the independents, does your guidance kind of extrapolate out potentially what that might look like throughout your entire book of business or are you only kind of anticipating what you are seeing currently? Thanks.
George Barrett: Yes. We have said that we have lots of different things. One of the things that I think is really helpful for Cardinal in general is our broad portfolio. So while we are seeing pressure from generic pricing and as I have said, to a lesser extent, branded inflation, when you look across the rest of the P segment, whether it would be how we are performing particularly in specialty, how we are getting in working through with Nuclear and some of our other components within that business, we continued to drive value in other areas. As you can imagine, when you are in a challenging environment like that, everyone, whether you are in P, M or corporate, is focused on expense control and making sure we are very diligent on those types of things. And so we have that benefit. As I mentioned, Medical is continuing to do very well. We expect them to have a very good year. And they are going – moving along as planned. And so I do think our broad portfolio of having Medical being able to drive some initiatives at a corporate level, which are going to show up at the end of the year, as well as some of the other parts of Pharma, are what we will be able to use. And using our balance sheet too, from a capital deployment standpoint through M&A and stock repo is how we are going to continue to manage the rest of the year.
Charles Rhyee: Great. Thank you.
Operator: Our next question comes from Eric Percher with Barclays.
Eric Percher: Thank you. I am going to return to the question of the independents and pricing, it feels like there is a pretty big difference in the magnitude of pressure that we see in your guidance as compared to one of your peers. And Mike, I know you have been willing to go into some of the mechanics on items like brand inflation in the past, if we think about the mechanics of independent contracting, could you tell us a little bit about how much of the book is truly small and mid-size customers versus larger buying groups of independents and do you see significant differences in those. And maybe the last part of that would be do you have any major contracts that may be coming up or how much – how important are those?
George Barrett: Yes. Let me try a couple of things and feel free to follow-up with another question if I miss it, but a couple of different things. First of all, I hate to ever comment on our competitors’ numbers. Well, I just want to be careful with those. But remember, mix matters. And what I mean by mix is how much of their mix may be brand and generic versus our mix. If you look at the other components of our Pharmaceutical Distribution segment with our growth in specialty, nuclear and other things, so it’s hard to comment on all the various moving parts of any of our competitors on what’s in those segments. Second of all, I think you hit on something which is customer re-pricings and we didn’t have very few – we have basically a very few major re-pricings this year and obviously, over the next couple of years, we don’t have a ton of those. We are in pretty good shape, particularly with some of our larger customers. And I think that may be a different thing as where we are seeing some of our competitors may or may not have more large re-pricings with some of their customers, which can affect each one of us in different timing within the years. And so I think it really gets back to mix of customers, timing of re-pricings. And those types of things can drive differences between each one of us, as well as maybe the expectations that we originally set at the beginning of the year and how we looked at things.
Eric Percher: That’s helpful. My follow-up would just be having exposure to telesales and Harvard, has that changed your insight into the market and/or your exposure to the market?
George Barrett: Yes. I think in some ways, a little bit of both, because a lot of their sales are into the independent market. You can imagine we are seeing some competitive generic pricing against our telesales business, which obviously is a little bit of a headwind for that group. But on the flipside, because we do have so many contacts into the independent and the regional chain space with our telemarketing business, it gives us a lot of competitive intel on what market price is. And we stay very focused to try and make sure that we are pricing at that market price and not trying to do anything outside of that, because we believe we have a great service offering that we don’t need to price below market in order to win and compete effectively.
Eric Percher: Very helpful. Thank you.
Operator: Our next question is from Ross Muken with Evercore ISI. Please go ahead.
Ross Muken: Good morning, guys. So, you guys compete on the pharma side, right and the industry structure primarily is an oligopoly, right? So for many years, we haven’t seen these sorts of spurts of aggressive competitiveness. And obviously, it’s a tough environment. But when you look back at prior periods and talk to folks in the organization have been looking at this longer than probably myself. What are the key telltale signs of sort of the end of that, right? So looking for, okay, we saw flare up, something happened and then behavior returned back to more normal. I mean, is it – and then, so one, what should we be looking forward to judge whether or not this is sort of temporal? And then secondarily, how do you ultimately go back to that customer group and recapture some value, right, because inherently your business model has been delivering a ton of value to the independent base for a very long time. Obviously, the margin levels take a hit and then historically they have come back. And so help us think about those the sequence of sort of what happens next, I guess?
George Barrett: So Ross, why don’t I start? First, let me start by saying we always operate in a competitive environment. That is the nature of our business. Obviously, I have been doing this as is Mike for quite some time. We have lived through multiple cycles for me and multiple parts of the industry. You see these periods. I mentioned that this is a bit of a unique moment. You have got all of the public discourse around healthier sides in Pharma, it’s loud and it’s emotional. And at the same time, healthcare is going through some changes. So, I don’t think it’s shocking that there is some near-term disturbance. Experience – my experience tells me that over time, you see some shifting out and just essentially settling of the dust. Sometimes, when aggressive moves don’t result in a much change or a value creation, then things just sort of stabilize. And so we have lived through different cycles in the past and that’s what I would expect here. For us, again, the important thing is for us to be creating new value sources for our customers and our manufacturer partners. And we work – you have heard the positioning that we have had over these last 7 or 8 years, it’s really been about broad value creation and we will continue to focus on that as our priority. And I think ultimately, the reason that our business has been improving in recent years is, essentially, they build and create value. And so we will continue to focus on those dynamics. But we have seen occasionally these kinds of cycles for me over, unfortunately, many decades in different parts of the industries. So, that’s my general point of view.
Ross Muken: That’s helpful. And maybe just quickly, Mike, on the balance sheet, I mean you guys are in a pretty strong position here. You talked about dislocations a bit in some of the pharma service part of the market, I am assuming to private and other competitors that’s they are also painful, I mean, what about the M&A pipeline at this point? And obviously, you are doing a lot on the repurchase and you have a healthy dividend, but there is a lot of balance sheet capacity there. Could we see you guys get more active again?
Mike Kaufmann: Yes. Couple of comments. I think it’s good to hear you mention the dividend, because that’s something I would like to stress, because I think we have a very differentiated dividend and it’s something that we continue to be committed to our 30% to 35% payout. And I think that is a very much a differentiator between us and others. And so I agree with that on one side. Again, I would tell you that when it comes to the deployment of capital, we would love to find great M&A targets that’s probably where we would lean overstock repo, but we are going to stay disciplined. If we can’t find the right target at the right price and it has the right culture that fits into our business, then we are not going to move forward. And if that means there is some excess cash on the balance sheet, then we will take a look at deploying that in the stock repo. So, I think our pipeline is still decent right now. As you can imagine, we look at dozens of items before we ever purchase one. And so it’s always hard to tell exactly when something might come out of that, but we continue to be very active in the M&A front, but won’t trap cash on the balance sheet either if we can’t find the right opportunities.
Ross Muken: Thanks Mike.
Operator: Next, we have Ricky Goldwasser with Morgan Stanley.
Ricky Goldwasser: Yes, hey, good morning. So, couple of questions here. First of all, does your guidance assume any additional step down in distribution sell-side pricing offering independent books? So, did you assume that a step-down in the pricing that you are seeing in the marketplace today will spillover to your entire independent book?
Mike Kaufmann: Well, I guess the only way I can respond to that is, as I mentioned in my remarks, our guidance includes not only what we saw in Q1, what I have kind of foreshadowed in Q2, but also that it was based on some of the trends we are seeing in Q1 and in Q2. So yes, it does include some continued challenges with generic pricing and branded inflation.
George Barrett: Let me just add to this, Ricky. I mean generally, market price is a very effective market, very efficient market. So, the market just tends to be the market. And so you can’t think of this as necessarily individual customers.
Ricky Goldwasser: So – but George, doesn’t that mean if there is risk that you may have to lower your prices in the future to match a new lower price point in the market volume? So, I guess the question is, is there any lower price point in the market?
George Barrett: We are always lowering our pricing in the generic market. It always has been that way. And so generally, you constantly are competing on generics. All we are saying is that, right now, it’s just a little bit of an unusual period of time where we are seeing a little more aggressive re-pricing. But there is always some re-pricing built into your go forward. We are always going to price the market. We are not ever trying to leave the market down, but we are in the – we believe the best competitive position from a cost standpoint that we can always stay competitive.
Operator: Our next question comes from Greg Bolan with Avondale Partners.
Greg Bolan: Great. Thanks, guys. So, if I could just maybe qualify what you said here is, on the distribution side, your margins on the buy side are about the same, your margins on the sell side downstream have got a little bit worse. And so that’s a). And then b), Mike, if we could go back to this time last year, I mean, if I remember correctly, you guys were already kind of dealing with a little bit of a difficult comp on the distribution margin side. If I remember correctly, you guys got about, I think called out $0.08 of incremental tailwind from generic pricing this time last year, and I think about $0.03 from synergies from acquisitions. So, could you maybe talk a little bit about that and kind of how much of this year-over-year difficult comp kind of played into 1Q? Thanks.
George Barrett: Yes, thank you. I did mention that in my remarks that part of the reason for our Q1 is the comps and that’s why we called out Q1 being down was. And you were right on with that. We did have $0.08 last year that we called out favorability largely from benefits related to certain competitive dynamics on a few key generic items that we thought we are going to deflate last year that didn’t and they stayed up. And since then, they have deflated. And then, as you mentioned, $0.03 on accelerated integration of some acquisitions. So those were favorable items last year. As well as from an overall basis, remember, we had a favorable tax component last year too. And then in last year, we did see the first quarter branded inflation was a little higher than we had anticipated. So, that’s right. Those were the positive things. You also summarized accurately the generic piece. When you really break it down into two components, one is the manufacturing actions, which is then either raising or lowering price. We are seeing, for instance, less inventory inflation on generics, but it’s really no different than we had originally anticipated. As you mentioned – as we mentioned in the past, FY ‘14 was a good year, ‘15 was a solid year and then it started coming down in ‘16 and we kept calling down and we said we expected that to be down and that’s how we essentially budgeted and looked at it for this year. So again, we are not seeing anything real different when it comes to what the manufacturing actions are related to inflation and deflation. It is the competitive environment downstream in our actual pricing out for the customers.
Greg Bolan: That’s great. And then just real quickly, if I kind of think back to Kinray 6 years ago now and what you guys have been able to do there, what Kinray and other kind of worked in or sort out on the community pharmacy side, I think you guys are now one of the largest, if not the largest, in the independent pharmacy space, with high 20% market share. And then as I think about the competitive dynamics around that market, I mean you guys have kind of lived in a world where you have been constantly trying to take share and been successful at that, it doesn’t sound to me like this – it certainly doesn’t sound as to what you are saying today is as draconian as maybe what we were kind of – what I was set up for going into the weekend and so – I mean is – if you think about – you keep saying short-term, you think it’s transient, George, I mean what needs to happen over the next say, years for you guys to kind of maybe mitigate this – on the downstream margin side and kind of how you are positioned to continue to maintain or even grow market share going forward? Thanks.
George Barrett: Yes. So Greg, let me start. This is really important. Our market share, I mean our independent has grown over years basically. It’s not a sudden phenomenon. Actually, right now, it’s relatively stable. So it’s possibly growing over the 7 years of this team’s leadership here. Obviously, the Kinray acquisition gave us a very significant boost there. So that’s not a sudden thing. It’s been a thoughtful and purposeful strategy to make sure that we have a good balance to our business. And we really feel like we create a huge amount of value for those independents to the service offerings and product lines, especially as the world is unfolded as it is. So start by that. I don’t think there is a discrete moment of change. We are obviously in the middle of a lot of things. So the election cycle clearly is creating an enormous amount of discussion and noise, which I do think has an effect on the way people behave. I do think generic cycles come in lumps and we see that they tend to have some cyclicality. We will see some growth coming from biosimilars, which will affect the market probably each product differently. And I think again, most times in competitive moments, you have companies just adjusting to what’s working and what’s not. And so that’s my experience over a lot of years. And so I think at the moment, right now, has a lot factors coming together to make for a tough environment, but we are going to stick to our value proposition and our long-term view as to how we compete in the market and how important service and product offerings are.
Operator: Our next question comes from Lisa Gill with JPMorgan.
Lisa Gill: Thank you and good morning. George, I just want to go back to your comments around the branded side and that primarily everything today is driven more on the generic side and pricing competition, but you brought the branded expectation down from roughly 10% down to the expectation of 7% to 9%, can you talk, is that what you are seeing right now, is that kind of your future look, we have heard from a number of manufacturers that they are lowering their expectation into what their price inflation will be in calendar ’17, so I want to understand that, number one. And number two, I just want to understand because the way that I have historically thought about this is that 15% that’s on a contingent basis was probably more profitable than a fee-for-service contract and so drug price inflation would have a bigger impact on that component of the business, I just want to know if I am thinking about that correctly?
George Barrett: Mike, do you want to start on this one and then I can jump in?
Mike Kaufmann: Sure. So actually, the 15% piece was margin dollars, it wasn’t number of contracts. So it was assumed to be – of our margin dollars generated. I wouldn’t say that, that group was a lot more profitable. A lot of the folks that are in there are obviously the smaller manufacturers, but so it’s going to have an overall a little higher average rate because just by the nature of being smaller manufacturers. But I don’t think that’s a big component of it. As far as what we have seen so far, I would tell you that what we have seen so far has been pretty light when it comes to manufacturer inflation. But that all being said, really January, as you know, our Q3 or the first quarter of our calendar year is always a big quarter for the branded manufacturer price increases. And the 7% to 9% is really an average for the entire year. So while it’s a little lighter than we would have expected now, that’s what we are building and to why we are lowering is that we would expect it hopefully after election and looking all those other components, we will see a little bit more normalcy, probably not as high, obviously as what it used to be, but we think we will get back into that 7% to 9% range. If that adjusts much differently than that, then we will have other updates after that. But right now, that’s what we are expecting.
Operator: Our next question comes from George Hill with Deutsche Bank.
George Hill: Hey. Good morning guys and I appreciate you taking the questions.
George Barrett: Thank you.
George Hill: I guess Mike first off, if we think about the change in the guidance on the generic side, are you able to quantify I guess kind of from down mid-single digits to mid to high single-digits, how much of that change is due to the underlying pricing environment of the drugs themselves, the deflationary environment versus how much of that is the sell side margin pressure. And then my second question would be you started to run down the rabbit hole of purchasing compliance a little bit, I guess could you talk about what you are seeing in the contracting environment and how that help – how pricing is leading into – how pricing is tying into the purchasing compliance discussion?
George Barrett: Yes. So as far as the adjustment from mid singles to mid singles to mid to high single-digits net deflation, really that entire adjustment is due to what we are seeing in the generic pricing environment. As I have mentioned, we are not really seeing the inflation-deflation piece to be significantly different than what we modeled. So you can assume all of that is essentially related to the generic pricing. And then as far as...
George Hill: The sell side part?
George Barrett: The sell side part, that’s right. And as far as compliance goes, that’s highly contract dependent, when we have customers, we are very diligent about the way we write our contracts. So if we have a customer contract that says that they have got to buy x percent of the generics from us, then we monitor that and we make sure that they do. And on the piece that they don’t have to directly buy from us in order to make that deal work, they can shop that piece and we have always known that. And so that’s the component that we would see, obviously some more pricing pressure on.
George Hill: Okay. And maybe if I could just still a real quick follow-up for George, when we talk about this increase in the sell side competitive environment, I guess how far off the normal are we if you think about historical spikes and when we have seen heightened competition?
George Barrett: I don’t think I am able to give you a specific number here. What I can say is the kind of erosion that we have seen typically and it’s been relatively predictable, has just been different over these last couple of months. And so it is different and noteworthy and I think is the largest component as to why we are adjusting our model for the year. The branded part, as Mike said, is much smaller. But I can’t quantify that for you, George, but it is noticeably different.
George Hill: Okay, thank you.
Operator: [Operator Instructions] And we will take our next question from Michael Cherny with UBS.
Michael Cherny: Good morning guys and thanks for the details so far.
George Barrett: Good morning, Mike.
Michael Cherny: So I think those pharma questions have been kind of be in the desk, so all these facts got on the Medical side, you guys talked a little bit about the recent share gains you have, obviously Kaiser is a very notable contract win, can you maybe talk, especially with Cordis anniversary over the last year, as you think about now your go-to-market strategy versus maybe 2 years ago, what are the biggest differences, obviously Cordis is one component, but in terms of being able to gain a competitive scale, what’s changed the most or at least most improved your competitive win rate?
George Barrett: Michael, thank you for the question. So, you are making Don happy on a question about Medical. So let me just give you a perspective. Our go-to-market model over recent years has really been focused broadly on a couple of really important changes. A lot of our customers are getting much more complex. They are bigger systems. So what historically might have been a single hospital is now a academic medical center plus some community hospitals, plus a few surgery centers and oncology clinics and now some doctors offices. That requires a different partner. I think our ability – and we have seen this. We have built our business around that expectation. And I think what’s happening is our ability to serve across that continuum of care to create value in different ways or systems the are much more complex than they once were is important. And one of the shifts I want to describe is a little bit more of an elevation of those conversations, away from the purely departmentally driven ones into a conversation that’s more broadly at the system level. I think that’s playing to our strength. Now again, we have to be very strong in each of the departments. We have to be content experts and we are still that. But I do think that the reason that we have been growing, I think is largely that we are positioning well to adapt. And we anticipated these changes in the way that these big health systems were going to look and I think that’s been beneficial to us.
Mike Kaufmann: Yes. I think the only thing I would add to that is I think a part of that growth is the really measured and smart approach I think we have taken to expanding our portfolio in the medical segment. And so our reps are able to leverage a lot more products in the bag. And so when we call on a customer, we have more to sell them, we can leverage our expense structure, we can be more meaningful to them. And I think it would be – I don’t think we should also ignore the fact that we have given a lot of energy to the Cordis business. So, we have put some great people in charge there. It’s a business that we are paying a lot of attention to. Don himself has a lot of experience in this area as David Wilson who is running it. And so I think there is a lot to be said for when you have people that are excited know you are investing in the business, really are committed to that and we have hired some great people. I think that’s driving some of the things we are seeing in Cordis, too.
George Barrett: If I could I just want to add one more piece, because we are talking primarily in this context about the medical, but it does connect our pharmaceutical business and our medical business and many of these customers are part of that overall offering. So, I didn’t want to miss the opportunity to share that.
Michael Cherny: Thanks, guys. I will let you go with rest of the queue.
George Barrett: Thanks, Michael.
Mike Kaufmann: Thanks, Michael.
Operator: Our next question comes from David Larsen with Leerink.
David Larsen: Hi. Mike, can you talk a bit about your efforts to improve your cost structure in the corporate division? What’s going to drive that? And any sort of quantification could be around that would be very helpful? Thanks.
George Barrett: Yes. So, good question and I mentioned that it is a big driver when you think about that EPS bridge, as we mentioned with the generics slightly are going down and net customer activity staying the same. We needed to actually have a real focus on that expense initiative. So, a lot of us – lot of the corporate departments across the company are all located in corporate. A lot of the initiatives and things that we fund, we fund out of corporate. And so all of those things we are taking really good hard look at, making sure we are investing in the right things. We are being very targeted on those things. And just driving discipline throughout our corporate departments in all lines of our P&L to make sure that we can help contribute to offsetting some of the decline we are seeing on generics pricing.
David Larsen: Okay, great. And then can you just remind me again sort of the 2Q operating income expectations for the pharma division? Pretty significant change there relative to commerce last quarter, just could you remind me what’s driving that? And then what’s going to sort of cause the reacceleration in growth in the back half of the year?
Mike Kaufmann: Yes. So, Q2 was really being driven by the same trends that we discussed. When we take a look at that, the trends that we saw in Q1 related again to generic pricing as well as branded inflation rates being lower than we had anticipated are the two key drivers in Q2 and why we gave you some early information that it would be similar to the percentage decline we saw in Q1. As far as what’s going on back half weighted, some of it has to just do with comps and things that are going to happen in the Cordis, like branded inflation tends to always be stronger in our Q3. And we have a lot of other initiatives that we are working on that we believe will deliver value in the second half. Remember, we have the step up in Cordis that impacted our Q2 and Q3 last year that doesn’t impact our Q2 and Q3 this year. Plus, we will have a full year of growing and getting after that business as well as on-boarding some other customers. So, we think we have enough initiatives in the back half to be able to get us to where we need to for the year.
Operator: And our next question comes from Bob Willoughby with Credit Suisse.
Bob Willoughby: Good morning, George and Mike. While we know absolutely no one speculates on inflation anymore, it did appear your competitor bought some inventory in the inflationary market last year, liquidated this year. You bought less year-over-year, maybe the medical skews that somewhat. But isn’t it safe to assume there are some pocket of profits that have fallen out of the model here year-over-year?
George Barrett: Well, I think in the sense of – if we are relating it specifically to branded manufacturing, when you do have less branded manufacturer inflation, you do as I have mentioned a couple of times, when that happens quickly, you have those immediate adjustments where that 15% of your portfolio that is dependent upon that inflation sees less inflation. So, you do have to go through and renegotiate your agreements with manufacturers, but – so, that’s the first important piece. As I mentioned, we are doing that with manufacturers. Any time you see a sudden change, you have to go do that. As far as specking on generics or on brand, again, that was something that we could do a long time ago, several years ago because of the nature of our relationships with generic manufacturers, on the – with Red Oak as well as our agreements on the branded side specking is minimal to almost none of an impact.
Bob Willoughby: And Mike, can you reaffirm a cash flow target for the year or is that not to call today?
Mike Kaufmann: Yes. We don’t as you know give cash flow targets for the year, but again, there was nothing I would say that when I look at what’s going on in our business that would make me think that we are not going to be able to deliver strong cash flow this year.
Bob Willoughby: Thank you.
George Barrett: Thanks Bob.
Operator: And our next question comes from John Kreger with William Blair.
John Kreger: Hi, thanks very much. Could you give us an update on what’s sort of brand inflation you are seeing within the specialty bucket and what sort of assumption you are making in guidance for that category?
Mike Kaufmann: Yes. We don’t break that out specifically. Generally, inflation on specialty tends to be a little bit lower, because they are higher priced items than in the overall bucket. But our overall 7% to 9% target is across the board for all branded pharmaceuticals, including specialty and what’s going through our normal Pharmaceutical Distribution bucket.
John Kreger: Thanks Mike. And one other one on the medical front, can you give us a sense about what your organic revenue growth was in the quarter? Now that you are lapping quarters, we are thinking about 6%, is that about right?
Mike Kaufmann: I can’t give you the exact number, but I would definitely tell you that we were positive growth in the medical segment without Cordis. We do still expect Cordis to deliver $0.15 for FY ‘17. And so yes, if you were to back Cordis out, you would still see nice growth, a healthy growth in the medical segment.
John Kreger: Great, thank you.
Mike Kaufmann: Thank you.
Operator: And we will take our final question from Steven Valiquette with Bank of America.
Steven Valiquette: Thanks. Just one more here on the sell side customer pricing, I guess I am just curious, is there any evidence that a change in the actual price methodology in the market being offered by some wholesalers? And the reason why I ask was that there was some chatter about maybe a shift to a cost plus pricing model on generics as opposed to just random spot pricing? Thanks.
George Barrett: Mike?
Mike Kaufmann: Well, I think all the time people are always trying to be creative on how they price and how to work with customers and different customers have different needs. So, I don’t see a wholesale change though in the way people are pricing in the market. The majority of the areas where we are seeing the pricing pressure just in that normal day-to-day pricing, whether or not that’s changing our larger deals, it’s hard for me to speak to our competitors on how they might be doing that. And deals can get often very complicated on how you compare one to another, but I wouldn’t notice any notable change at this point in time.
Steven Valiquette: Okay, great. Okay, thanks.
Operator: And that concludes today’s question-and-answer session. At this time, I would like to turn the conference back over to George Barrett for any additional or closing remarks.
George Barrett: Well, at first, thanks to all of you for your good questions and for joining us today. I know that we will be seeing many of you in the coming weeks and we look forward to that. And with that, we will close the call. Thank you, all.
Operator: And that concludes today’s presentation. We thank you all for your participation and you may now disconnect.